Juan Gaitan: Good afternoon, everyone. My name is Juan Gaitan, Cellnex's Director of Investor Relations. And I would like to thank you for joining us today for our Q3 2024 Results Conference Call. Today, I'm joined by our CEO, Marco Patuano; and our CFO, Raimon Trias, who will discuss the main highlights of the period and then we will open the line for your questions. [Operator Instructions] So without further ado, over to you, Marco.
Marco Patuano: Thank you. Thank you, Juan. Good afternoon, everyone. So let me please start providing the main business highlights of the period. Q3 confirms once again our capacity to generate solid results, proving the attractiveness of our business model and the alignment for the achievement of all our public targets. While commercial performance continue to be consistent, coming hand-in-hand with robust operational execution, PoPs are increasing 9.5% compared to last year 6.3% in terms of equivalent PoPs. And our main sources of co-location have been Digi in Portugal and Plus in Poland. In terms of BTS, we see strong progress from Bouygues and Iliad in France and from Play in Poland. Our organic revenues, excluding the impact from the disposal of sites in France during the period and other effects, have been increased by 7.4%. Our organic EBITDA after leases increased 9.8%. Recurring levered free cash flow now reached €1.256 billion and the free cash flow is €326 million. We're on track to meet our short- and medium-term targets. We recently started our Capital Market Day, and it can also assure us that we are fully committed with our objectives and with a consistent delivery quarter-after-quarter in order to continue building the trust. So let's move to the portfolio optimization and capital allocation priorities. The Irish closing process remains on track, and we are expecting to end by the first quarter 2025. On the Austrian deal, we have already obtained all necessary approvals and we will close in a few weeks by mid-December. We are assessing the potential acceleration of shareholder return in 2025, instead of our original plan in 2026, privileging the most accretive alternatives and subject to our leverage and rating commitments. We are discussing with rating agencies our degree of flexibility in order to determine the exact timing and size of this distribution. Once again, let me reiterate that we constantly review our market and business line in order to focus on those with the highest strategic fit and return on capital. Selling non-core assets at attractive valuation may result in earlier and larger shareholder distributions. I will later share with you how we see the MNO consolidation in Europe and its impact on Cellnex. But before that, I will now hand over to our CFO, Raimon, who will give you more details on the results of the period. Raimon, the floor is yours.
Raimon Trias: Thank you, Marco. I will now provide a few additional remarks on the period and our financial strategy. This has been another period of consistent commercial performance, with PoPs growing at 9.5% compared to the same period last year. Please note that these are physical PoPs, which in our view provides a better understanding of the addressable market and our commercial efforts and which complement our traditional reporting based on equivalent PoPs which show at 6.3% growth. This 9.5% performance is explained by mainly two factors. First, the progress made on our build-to-suit program, which represents around 3% of the total growth and comes primarily from France and Poland. Second, by colocation PoPs, accounting for 6.4% of the total growth. It would be around 3% in terms of equivalent PoPs. Colocations come mainly from Portugal and Poland, with the rest of our markets showing a steady performance. Revenues increased 7% compared to the same period last year. Adjusted EBITDA 6% and EBITDA after leases 9%. Please bear in mind that year-on-year trends are impacted by the well-known change of perimeter coming from the disposal of sites in France. And excluding those impacts, the pure organic performance would be revenues 7.4%, EBITDA plus 8.8% and EBITDA after leases, almost 10%. EBITDA margin increases, therefore, from 58% to 59%. Moving to Slides 10 and 11, we are providing here our organic revenues bridge for the period as well as individual performance of our different business lines. The 7.4% organic revenue growth can be split as follows: 2.2% from escalators and CPI, 1.5% from co-location, and 3.7% from built-to-suit programs. All our business lines show a strong -- solid growth performance. Towers increased 7.2% organically. It will be 6.2%, net of the change of perimeter. Fiber and connectivity service is 21%, up due to our projects with Bouygues in France, mostly fiber DAS, a massive expands at 13% and even broadcasting grows at 3%. Moving to Slide 12, we illustrate here our commitment to our efficiency programs and our ambition to continue optimizing our cost base. Our lease efficiency program remains on track with implementation of land management measures in order to absorb both the contractual rent increases and incremental costs associated with a growing perimeter. Let me also highlight that efforts are being made to further extract efficiencies beyond ground leases through a series of initiatives encompassing all areas of the company, energy control, discontinuation of non-core activities, deployment of Cellnex OS automatized operational processes, new operational models at the country level and the centralization of the procurement function. In the current presentation, we start to highlight the impact of all those measures on the total headcounts of the company. Starting from the first quarter '25, we will report the savings associated with the different improvement areas as anticipated in our global efficiency plan described in the Capital Markets Day. On Slide 13, we deep dive into the free cash flow, reaching €326 million in the period from €436 million last year. The delta is basically explained by two factors. First, the recurrent lever free cash flow that improves by €85 million. And second, the remedies process in France that contributes €274 million less in 2024 versus 2023. Our view for the year '24 remains unchanged, with free cash flow expected to reach between €250 million and €350 million compared to €150 million generated in 2023. We expect build-to-suit CapEx before remedies to be in the €1.3 billion area, down from the €1.6 billion in 2023. Going forward, our free cash flow generation will significantly increase as we will complete our build-to-suit programs. This will underpin our rapid deleveraging and our capacity to return cash to shareholders. Finally, let's take a look at our debt maturities profile on Slide 14. As you can see, there are no maturities left in 2024. And we have used proceeds from our recent bond issuance maturing in '29, with a coupon of 3.6% to 5% in order to repay variable debt maturing in '25 at a 5% cost. Proceeds from additional disposals may be partially used to continue repaying variable debt, with a high associated cost, as these instruments are linked to Euribor, we have a robust and well-designed capital structure which prevents us from incurring higher interest expenses. As you know, 80% of our debt is fixed. Short-term debt maturities have already been managed, so our average cost of debt, which today stands at 2.2%, will only marginally increase in the coming years. As I mentioned earlier, let me now hand over to Marco for his final remarks on value creation opportunities with clients and operational excellence.
Marco Patuano: Thank you. Thank you, Raimon. We gradually see movements among operators in Europe. And therefore, I would like to give you a quick update on the progress we are making with our clients in order to secure existing business and crystallize value creation opportunities. In the context of the consolidation process between Orange and MasMovil in Spain, we are reaching the agreement on the new contract with MasOrange, which will give them the required network flexibility in the short-term in exchange of a single and longer contract governing the entire relationship with the client until 2048. Additional services will be progressively activated. The outcomes for Cellnex will be a modest and negative impact in the short term and over the longer term, a neutral impact from a discounted cash flow perspective and a long lasting partnership agreement with a rock solid customer. We have also reached an agreement to -- with Iliad in France for the renewal of their presence on Hivory sites, securing the associated revenues for an additional 10-year period. Finally, the new legal entity, Celland, is now fully operational from September, and it will be functional not only for boosting our land efficiency program described by Raimon, but also for our strategy of protecting our most valuable sites. Moving to Slide 15. Here we resume the most recent MNO corporate movement in all the European markets where Cellnex is present. The goal is to analyze their potential impacts and to highlight the different measures taken by Cellnex to protect its business. The message is that consolidation in Europe is already happening at least at network level through RAN sharing agreements, but it is having no impact on Cellnex. We are signing more and more win-win agreements with our clients every time that they are involved in combinations, and we are very effectively protecting our business with them. RAN sharing is a common practice in Europe, but it has been neutral for Cellnex. On Slide 16, we describe in more detail four recent cases of MNO consolidation in our market. We saw no impact in Italy from the merger between Wind and Hutch, plus we generated additional business over the new entrant Iliad. We expect no impact in Italy from the recent acquisition of Vodafone Italy from Swisscom as none of the operators involved as an anchor client of Cellnex. In the U.K., our Pharos agreement secured business there from the combined entity, and we have already shared during the session the expected outcome of our discussion with MasOrange. In-market consolidation in Europe is needed, and we want to play a role to help our clients in this process. Going forward, we're willing to replicate the same logic for future deal. Short-term network flexibility for the combined entity in exchange for larger site perimeter where applicable, longer contracts and additional services to meet future densification needs. Finally, we reiterate the main feature of this strong quarter and our absolute commitment with all our public targets. With this, we remain now at your disposal to answer your questions. Juan, over to you.
A - Juan Gaitan: Thank you, Marco. Thank you, Raimon. First question comes from Akhil Dattani from JPMorgan. Please go ahead.
Akhil Dattani: Yes, hi. Good afternoon. Thanks for taking the question. Can I ask a question on shareholder returns in your balance sheet, please, if I can? Marco, you said in your opening comments that the ambition is to accelerate shareholder returns to 2025. And there's a number of comments you've made recently at various events sort of outlining some of your high-level thoughts around that. You've mentioned today also that the rating situation is an important component to being to deliver on that. So I was just really hoping you could flesh out for us some of the key things that we need to think about as we try to better understand what your scale and timing of the outcome could be. And I guess just to sort of maybe frame the conversation a little bit, the things that I was trying to understand is firstly, when I look at the rating agencies and what they say, it sounds like Fitch is the stricter of the two agencies in terms of their framework. So I'd just like to understand is that right? And if it is, what are the key variables? Is it their methodology? Is it their forecasting? Is it not accounting for future asset sales? What are your mechanisms to try and give them comfort, such as they permit you to return more capital? And with all of this, how should we think about timing? Presumably, you're having these conversations with the agencies into year-end. When could we get some sort of update from yourselves in terms of what's possible? Thanks a lot.
Marco Patuano: Thank you. Thank you, Akhil. Well, in terms of -- yes, you're right with feature. We are a bit more tight than in terms of numbers. The reason is partially the methodology, because with the -- each rating agency adopts a different methodology. The Fitch one is a bit penalizing in terms of algebra when you put the number together. But there is another element that is very relevant. Every rating agency, when you share with them your future forecasts take a sort of margin of prudence that is sometimes a bit generous in terms of prudence. What we do is we have clearly shown that we are reliable in our capacity to deliver. And if the rating agencies accepted to reduce or eventually even to cancel this margin of prudence to our forecasts, the year 2025 trends are very favorable to us. Having said that, we are in the process. In terms of timing, we just -- in Q3, Board of Directors which approved that the Q3 approved also the budget for 2025, which is the reason why I'm telling you that we are confirming also the medium-term targets. And with these, we have all the detailed elements to open the conversation. And the first meeting is today at 4:30. So we have not to make too long this conference call. Timing, so it's before year-end, we would like to have a clear indication from the rating agencies in terms of timing and in terms of size. Size, we present them different alternatives, some alternatives are status quo and some other alternatives are including some further asset rotation. And allow me not to elaborate too much on this, but you know that we are fairly serious and agnostic on this. Hope I answered it to you.
Akhil Dattani: Yes, you did. Thanks, Marco. And just a very quick follow-up. In terms of some press reports, there's been maybe some conflicting quotes been taken. So I guess some of the journalists maybe haven't captured your messages correctly. But I guess I'm trying to understand when we think about what you're aspiring to, can you maybe just outline in terms of buybacks versus dividends, is there a particular priority if you're hoping to pull forward? How should I think about that? Thanks.
Marco Patuano: Yes. With the share price, where is it today, it's -- I think it's difficult to argue that share buybacks are not extremely value accretive. So today, share buybacks are extremely accretive if tomorrow, we are able to have a more generous liquidity to put at the service of the shareholder return. I wouldn't rule out the possibility of having a component of dividends if the Board of Directors will consider it appropriate. So -- but it really depends on the size of what we're going to do this year.
Akhil Dattani: That's clear. Thanks very much.
Marco Patuano: Thank you.
Juan Gaitan: Next question comes from Andrew Lee from Goldman Sachs. Please Andrew, go ahead.
Andrew Lee: Yes. Good afternoon. I had a follow-up to Akhil's questions just around shareholder returns. Marco, just it seems from the wording of your release and maybe reading too much into this, but that the scope for returns that you're negotiating is basically -- is pretty much fully predicated on just paying out cash from the Ireland and Austria sale and not an incremental kind of pull forward on an underlying basis of your organic guidance of starting dividends in 2026. Is that fair, i.e., you're negotiating with your rating agencies whether you'll be able to pay out the cash from your asset sales, or is it larger -- or is it potentially larger than that? Just trying to get an understanding there. And then secondly, thanks for the greater detail you provided on the -- on what you see as the outlook for consolidation on Slide 15. That's really helpful. Just two questions. One, are we right in thinking that there's no market where you see consolidation as a negative? All I can really read there is either positives or neutrals for Cellnex. So if we're wrong there, just great to know. And then secondly, on the consolidation side, just within the Spanish contract you're renegotiating at the moment, it's clear that there's a quid pro quo of positive tenancies in the long term for the negative of switching off some overlapping secondary tenancies in the near term. Can you give us any hint as to the scale of headwind in the near term from those near-term switch-offs? Thank you.
Marco Patuano: Sure. Well, it's clear that cashing in Ireland and Austria is mandatory in order to have a shareholder return action. We made clear since day one that remaining investment grade for us is of paramount importance and it's even too easy to say why. So going forward, not only we have to refinance part of the debt that is going to expire, but part of the future shareholder remuneration is also due to re-leveraging the company once the natural trend goes in the direction of the extreme deleverage. So we want to remain investment grade. And so in collecting Ireland and Austria is fundamental.
Raimon Trias: If I can add as well. As you said, when we presented the Capital Markets Day with those projections, we could do what we presented, that it was shareholder retribution from 2026. With the divestments, we might be able to accelerate, but what is important is the exercise we're doing now with the agencies, where we are asking them for certain flexibility within their numbers and the limits that they have, but proving them, as Marco said, that this margin of prudence that they have, based on the performance that we have been achieving over the past three, four years and they can probably reduce the margin of safety that will bring further flexibility for us as well in the year '25.
Marco Patuano: You see the part of the reason why we are giving also these more additional visibility on the effect of the consolidation and the RAN sharing is to say, look, our business is fairly predictable. So if you take a consistent and let me say, not too conservative view on what could be the impact of in-market consolidation, it's very possible that our prediction can be challenged less in the future. Consolidation is a negative or not? Well, consolidation per se has two effects. In the super short term, there is the need of a redesign of the network. By the way, people believes that the redesign happens in a week, it's not like this, it takes time because you have to make a lot of engineering in order to integrate the two networks. And of course, we want to support our clients in order to have a better network. But if you look what's happening, the U.K. for instance, the CMA is hardly pushing on the effect on the quality and the quality comes with stronger networks. And by the way, when one operator has a very strong network, it becomes the new standard for the market and these can bring further business. Spain, to give you a sentiment what do we mean with very moderate impact, in the short term in absolute terms, so in million euros, we are assuming a mid low single-digit number. So it's really peanuts. And from that moment onwards becoming one of the strongest partner of MasOrange. You easily understand that it's a super-important opportunity for us in Spain, very good client, great ambitions and desire to stay in Spain in the long term.
Andrew Lee: Thank you. That's very helpful.
Juan Gaitan: Thank you. Next question comes from Maurice Patrick from Barclays. Please go ahead.
Maurice Patrick: Yes. Hi guys. Thank you for hosting the call. Just a couple of quick ones for me. Just in terms of -- I've noticed the press reports around Zegona looking to aggressively renegotiate their MSA. Without commenting too much on specific events in Zegona because it probably isn't appropriate for you, just your wider thoughts in terms of any clients that you have that might be or thinking about and renegotiating in such an aggressive style. And just I guess tied into it, you announced the resigning of the deal with Iliad on the secondary PoPs. Should we expect more of those in the coming quarters sort of resigning people proactively? Thank you.
Marco Patuano: It's a bit hard for me to comment on the attitude of one MNO operating in Spain. I think that what is an interesting exercise that the governor is doing, but same as Zegona, everybody can do is in an all or nothing environment, is it possible to say nothing? So I think that this is what Zegona is testing in Spain. And the bigger is the portfolio, the more difficult is to say nothing. Because if you have to swap 100 sites, or eventually even 1,000 sites is feasible. If you need to swap 5,000, 6,000, 7,000, 8,000 sites, it's not too easy to replace all of them, not some of them, but all of them. And I think that what Zegona is trying to do is try to understand if this is just a theoretical case or if it is -- or if it can be a concrete case. Sorry, the second question?
Maurice Patrick: Yes. It was just the Iliad -- timing around the signing with Iliad. Is it more like that…
Raimon Trias: Iliad.
Marco Patuano: Iliad. Sorry, Maurice. We need to -- if you could please repeat. The line is not great.
Maurice Patrick: Yes. Apologies. I could blame the U.K. mobile networks. No, the -- so, yes, the question really is around the re-signing. If I'm not wrong, you re-signed with Hivory towers in the French markets. And it's like why that one now? Is there a financial impact from it? Are there more like that in the coming...
Marco Patuano: Yes. Sorry, it was cut before. When you look at the country, it's not true that the relation with one client is limited to one portfolio. In our case, France is the result of four different moments or four different acquisitions. And each of them represent a different portfolio with slightly different characteristics, but most importantly with different renewal moments. And the case of Hivory was not that we decided to anticipate, it is simply that we are -- it was a moment in which there was a natural expiration date of the contract. We renewed it and we realigned with the other contracts we have with Iliad. So it was not something that we managed proactively or better. We managed proactively just a few months in advance vis-a-vis the natural expiration date of the contract.
Raimon Trias: That's same terms and no impact on what we have.
Marco Patuano: Yes, exactly. Same terms and no impact, just an extension of another 10 years.
Maurice Patrick: Perfect. Thank you.
Juan Gaitan: Next question comes from Ondrej Cabejsek from UBS. Please go ahead.
Ondrej Cabejsek: Hi. Thank you for the presentation, and congratulations on good results. I just maybe wanted to follow up on the situation that you commented, Marco, around the U.K. where obviously the CMA has now kind of changed their tone and focusing much more on investment as a remedy. And we've seen from the European Commission and their competitive support that going forward the focus in terms of remedies should indeed be on investment rather than recreating competition. So how does that sound to you as a kind of tower operator, because obviously, if there's a more lenient approach to M&A, then you're potentially getting into a situation where for instance consolidation creates the same situations that you're now dealing with MasMovil. But obviously, the focus on investment, as you say, is positive. So what is the kind of balance that you take from the kind of emerging approach to remedies in the first place? That's question one. And then question two, if I may, you mentioned potential asset rotations and we've seen -- or further asset rotations and we've seen in the market maybe a bit some conflicting messages around whether you are actually done with non-core disposals. So I just want to clarify whether the asset rotations, for example, pertain to the situation that you have in Poland, which as you say would always be net debt to EBITDA neutral, or whether there are some assets remaining in the portfolio that you would going forward still consider to be potentially non-core? Thank you.
Marco Patuano: Okay, good. Well, I strongly hope that the British case will set a precedent for consolidation in Europe. So it's not by chance that if you take in Europe what are the markets with the best networks you can refer to Switzerland, which is a three-operator market, to Netherland, which is a three-operator market, to Denmark -- to Austria, which is a three-operator market. So what seems to be the case is that when there is a rational number of operator who can keep prices under control, because we can't say that prices in the Netherlands are too high. But they had the chance to make investment and to have a fair return on their investment. Look at KPN to have a confirmation. So KPN is doing great. And they have a great network and clients in the Netherlands can experience a very good quality of the network. Personally, I think that insisting with a theory that allowing more consolidation will bring the prices of the mobile towards an unsustainable direction and therefore you need a maverick every time. It's something of the past. Now what we need is more investment. And in order to have more investment, you need a return on the investment. So this is why I've always been so vocal. I think that it is important for us and everything we can do in order to allow operator to have better networks is healthy in the future. And this is what is important to us. Tower business is not a short-term business. Tower businesses is looking to 15, 20, 25, 30 years. So we need very solid operator. Non-core disposals, well, non-core disposals, we are working a little bit more broader scope than just look into a market and say yes, this is in, this is out. And some time, people believes that if I can get a multiple in the private market which is higher than the multiple in the public market, it's done. I think it's a bit a poor analysis. What we are doing is a bit more sophisticated than this. First of all, we're working on the business lines. Not all the business lines give us a ROIC, which is what we expected. And therefore in some circumstances, we're simply closing some business lines. For example, in Spain, we were making O&M operation and maintenance for third parties. Those are contracts that progressively we are canceling and the margin on those contracts is so low that we can only benefit from the simplification. And when we go to the country, so the countries, what is important is to understand what is the growth, the remaining growth that this country can have, what is the competitive dynamic of this country, what is the health of our clients and so on, so forth. So making these broader analysis, we reevaluate very objectively, I would say, in order to understand that not only the return on capital, but also the return of capital. So if the return of capital is high, we can reuse this capital or eventually we can return the capital to shareholders. Fine. So it's a very -- it's a rocket -- not rocket science, but it's a very solid process.
Ondrej Cabejsek: Thank you very much.
Marco Patuano: Thank you.
Juan Gaitan: Next question comes from Roshan Ranjit from Deutsche Bank. Please go ahead.
Roshan Ranjit: Great. Good afternoon, everyone. Thank you for the questions. I've got two, please. And thank you for the details on the recent MSA renewals. Marco, can I get a sense of any change in the conversations that you guys have had with the MNOs around the clauses within renewals, specifically maybe around the all or nothing renewals, which I think now is quite unique to you guys and one or two other operators around Europe. That's something which you guys have embedded into a lot of your contracts. Are you still confident going forward that you'll be able to include that in future renewals and negotiations, sorry? And secondly, on the Celland vehicle, if I look at the run rate through '24, I think you're running out around 900 negotiations a quarter. That's up from 700 last year. What should we think about the optimal run rate? Because I think previously, you said you want ownership north of 20%. So how fast can that go on a quarterly basis? Thank you.
Marco Patuano: Thank you. All or nothing, well, you have to consider that this is possibly the single strongest characteristic of the European market. So if you compare side by side the characteristics of the European market and the American market, there is a long list of points where the American contracts are better than the European contracts. This is one where the European country is better than the American. So at the end, it's a trade. So the MNOs got very good conditions compared to the Americans. And if you see what the Americans are doing -- the MNO -- the American MNO are doing when they are selling new towers, they're looking for new partners. What happens in Europe is that MNOs are -- at least are working well with the current tower partners. And therefore, this is a part of the game. You cannot just take what you like and don't take what you don't. It's -- I can make you the list of the things that I would like to change, but it's impossible. So this is one of the elements that is in our favor. There is a list of characteristics that are in favor of the MNOs that are not under discussion. So yes, I think that we can keep it in future renewals. Celland. Making the startup of Celland has been a little bit more cumbersome than what we imagined because we have been maybe over prudent but with the land, the tax regulation is a bit delicate and we wanted to be sure not to make stupid mistakes that could turn into some negative in the future. So what are the lesson learned? The lesson learned is that in order to accelerate, you need a different organization. The different organization is not only having more money, but you need different know-how, different people, different IT, everything have to be different. So this is why possibly if you look at the number in 2024, you don't see yet the acceleration that we aimed to obtain and this is why in 2024, we counted a lot on renegotiation, more than acquisitions. This year has been a year of very strong renegotiation. And let me say that possibly an environment with mid-low CPI, with low inflation helps in helping good renegotiation with the landlords.
Raimon Trias: I think also if I may add. When we're doing land acquisition, the process is not that quick.
Marco Patuano: Yes.
Raimon Trias: It takes a bit longer. So you can be between six months to nine months, even sometimes a bit longer when you're trying to negotiate, you need to ask sometimes for permissions, until you close your register and everything. So it takes a bit longer. So this year, we have a lot of ongoing negotiations in France and other countries, but they will materialize during the year '25.
Marco Patuano: We were not considering that, for example, something very basic like the notary registration in some countries is longer than just buying my new flat. So we expect that our speed at regime should be something between 250 million and 300 million per year. And there is no seasonality in this. Yes, possibly, Q3 has some implication, but nothing really very material. So this is where I should consider the sum between land acquisition and efficiency CapEx of which the vast majority is land renegotiation.
Roshan Ranjit: That's perfect. Thank you so much.
Marco Patuano: Thank you.
Juan Gaitan: Next question comes from Luigi Minerva from HSBC. Please go ahead.
Luigi Minerva: Yes, good afternoon. Thanks for taking my two questions. The first one is going back on your remarks about non-core assets, and thank you very much, Marco, for providing more details about how you see the various countries. So I wanted to touch base on actually the adjacent businesses. So for example, fiber or data centers where you have a presence in France in that field, so how do you actually benchmark the returns of the adjacent businesses versus the towers core business and whether that can help you also identifying opportunities of further non-core assets? And secondly, just building on the consolidation theme, but looking at it from the towers perspective in Deutsche Telekom in their Capital Markets Day, they showed a few slides on their view about the European towers market and essentially comparing and contrasting U.S. with Europe. Their conclusion was that the European tower space is too fragmented. And so, their view was that we will see significant consolidation in the European towers market. So I was wondering if you can share your thoughts on this theme and perhaps what could be the catalyst to bring some change? Thank you.
Marco Patuano: Well, thank you for your questions [indiscernible]. So the addition to -- yes, you're right. We are monitoring -- the way we monitor them is you were mentioning fiber and data center. Both are -- in terms of capital allocation, they are both a work in progress. So more investments have to be done in order to bring them to the final speed. So what we are doing is -- first of all, is comparing the actual performance with the original business plan. We double-check if we continue to have the same vision at the completion of the projects. And what will be the return on invested capital when it's mature. And this is the process that we use for both fiber and data center. And allow me not to elaborate more than this in order where we are. But this is the methodology, so very rational. If we are not there, we will take -- so the Board will take the conclusions. Consolidations, I share the view of Digi Tower that one of the problems of Europe is the fragmentation. But we have to understand well, what is -- what does it mean? The consolidation per se -- let me say, for example, a cross-market consolidation brings very limited synergies in terms of industrial synergies. So we have to understand if a cross-market consolidation brings a better position on some financial -- on the financial market, for the equity perspective, for the debt perspective, because the industrial synergies are honestly not so weak. What are very important are the in-market consolidation because the fragmentation that we see ended with an over-building of towers. So one of the most important characteristics of the European market vis-a-vis the American market is that we have many more towers in Europe than in the U.S. So if the fragmentation comes with more towers, this prevents the possibility of increase the tenancy ratio. And this is bad for the market. So, two answers. One is cross-market consolidation. Well, it needs a super robust financial market because the game is not industrial. And so, what you need is to have a strong support of the financial market. In-market consolidation, every time you can do it.
Luigi Minerva: Very clear. Thank you so much, Marco.
Marco Patuano: Thank you. Thank you, Luigi.
Juan Gaitan: Next question comes from Ottavio Adorisio from Bernstein. Please go ahead.
Ottavio Adorisio: Hi, good afternoon. A couple of questions, probably three on my side. The first one is ongoing back on the themes of cash distribution. Marco, you talk a lot about accretions and potentially when after you have your discussion with the agencies to decide by the mix. I haven't heard about the word coverage. Your free cash flow, if I take the cash, the remedies -- the cash proceed from remedies is still barely above zero. And the guidance for the full year, given what you achieved in nine months, it doesn't hint a lot of cash generation in the fourth quarter. So my question is, are you prepared to pay dividends or a significant increase on dividends from the token dividends you pay at the moment if the free cash flow remain relatively low and therefore effectively if any cash will be distributed from disposal be done through share buyback? So I would like to hear how really the different policies vis-a-vis the cash generations is guided upon. The second one, it's on taxes. I've seen a significant cash payment this quarter and looking at the account, it looks to be to the at least my reading, is the first installments of the payment for the substitute tax in Italy to achieve to get some good benefits on goodwill amortization for taxes. So Raimon, if you can expand on that one and say how much still we have with the timing of these payments and what will be the benefits and how long these benefits will accrue to Cellnex? And the third one, it's very simple. You talk about expirations. You have very good details about deadline expiration. So most of your contracts with anchors don't recollect a lot about the colo. And I believe the one Iliad had with you renegotiate was a colo rather than an anchor contract. So if you can tell us over the next 12 months if there is any significant expirations on the colo agreements you have in the moment. Thank you.
Marco Patuano: Okay. I take one and three, and I leave taxes to the CFO because it's a typical CFO passionate argument. When we look at shareholder return, of course, we look to -- you were mentioning two elements, I would add another one which is re-leveraging. So free cash flow from operations is core. It's absolutely crucial. Free cash flow from operations comes from two different flows. One is to improve the recurrent level free cash flow. And this is why we want to give you more clarity on the big effort that we're making in order to translate more of our revenue into cash. So this is point number one. We're doing a fairly good job. And I think that progressively, you have more and more element to look at this. And the second is the build-to-suit program. So the build-to-suit programs, you have the build-to-suit tracker and you can see that progressively these will phase out. Now 2024 is still big. 2025, it will remain big. It's still a big number. And this is why originally, we were planning to have dividends starting from 2026. Because the build-to-suit starts to reduce materially in 2026 and to almost phase out in 2027. I don't think that -- personally, I don't think that build-to-suit is going to go to zero. It's -- when you look at the build-to-suit per se, the build-to-suit is not a bad business. What is bad is what is bad. What it has been delicate was the total amount. When you put together so many big build-to-suits, you end up with a monster number which is using almost every -- or more than everything your free cash flow from operation. Last, so free cash flow from disposals. Yes, we are going to use the free cash flow from disposals also for the shareholder remuneration. But let me say that we are not going to slice Cellnex only for giving shareholder return. We know what we have still to do. And we demonstrated fairly solidly that we're not trying doing. But the last is the cash that we can have from refinancing and from re-leveraging. I don't think that the tower sector benefits from a leverage too low, because at the end, you will end up with a WACC that is too much influenced by the cost of equity. And so, you end up with a WACC that is too high. And this is not good for your share price. Colo versus anchor, very big colo expiring we don't have. Taxes to Raimon.
Raimon Trias: Thank you, Ottavio. So in the case of the taxes in Italy, as a result of the merger of the different companies that we had and acquisitions that we did, there was a goodwill that we wanted to have a tax deductible. And in order to do it under a negotiation, we agreed to pay upfront a certain amount of cost in the year '24, it's 90 million. In the year '25, 100 million, 120 million and in the year '26, another 95 million more or less. That will secure this tax sheet for the coming years, giving us a return more or less circa of 30%. So it's a very good return. It's a bit higher than 30% and we will benefit from that for the next, if I'm not wrong, it's 10, 12 years approx.
Ottavio Adorisio: And the return is NPV or an absolute because of course I get in cash over 10 years and paying all upfront is a different.
Raimon Trias: Sorry, can you make the question again?
Ottavio Adorisio: Most of the payments made in the first three years, while the savings will be spread out over 10 to 12 years. When you talk about the returns on 30%, are you taking the NPV of the cash savings or on absolute?
Raimon Trias: Yes, it's the NPV.
Ottavio Adorisio: Okay, perfect. Thank you.
Marco Patuano: Thank you.
Juan Gaitan: Next question comes from Usman Ghazi from Berenberg. Please go ahead.
Usman Ghazi: Hi. Thank you for the opportunity, everyone. I just have two questions, please. Just going back to the MNO consolidation, at the CMD, I think you've given an indication that you expected these deals that had been announced at the time in Spain, U.K. and Italy to only have an impact of roughly 1% in real terms and in phases after 2027. And I just wanted to -- since then, you've obviously taken lots of actions to mitigate some of the headwinds. So I just wanted to understand if you're more confident or around the 1%. And in a situation where MNO consolidation kind of becomes more widespread as you've indicated, is kind of this 1% a good kind of rule of thumb to be thinking about in other deal scenarios? So that was the first question. The second question was just going to the broadcasting business. I think it's fair to say that for us that look at other markets, I mean the growth in the broadcasting business is kind of keep surprising us to the upside. I mean, do you have a view on how long the growth is sustainable? And if so, what the drivers are there? And just related to that, I don't know if you would be willing to tell us what the return capital on this business is internally? Thank you.
Marco Patuano: Okay. Thank you for your question on broadcasting. I'm happy to answer. So MNO consolidation, the rule of thumb of 1%, yes, I'm more -- so the evidence are telling me that this is what we should imagine. To give a little bit more color to the answer, I think that the effect of the consolidation is some short-term negative impact on the growth. Because of course when you allow to your client to reshape a little bit their presence on your invested assets, there is a moment in which they become more efficient in using your invested assets. And this is why we tend to agree with them that future growth they commit to do with us. So it's a trade of short-term growth versus long-term growth. And I'm very positive. I like this kind of deals because what I see is that my client is happy. We help them in making good engineering programs. By the way we sit with them and I'm very happy that my engineers are very good in this. And so, it's really a win-win situation. So yes, at 1%, I think I'm more comfortable with this number. Then is it a rule of the sector or not? This is a bit more difficult for me to answer because it depends very much how you build the underlying contract. And so, I can't answer for other parties, but this is okay for me. Broadcasting. So broadcasting, it's super-interesting because the future of the broadcasting depends very much on the spectrum allocation. Now spectrum allocation, we are discussing on maintaining in Europe the spectrum allocation until 2038. So what we see is that the big broadcasters in Spain, I'm talking about RTVE, I'm talking about Mediaset, I'm talking about Atresmedia, they are investing on technological quality improvement, moving to 4K also on digital terrestrial television. And 4K needs spectrum, but ultimately it allows to give excellent quality also on the free-to-air television. So, I think that the possibility of having at least extended to 2038 is very concrete. And if you imagine some evolution between 2035 and 2040, I would see a glide path with a modest decrease, but not a hard decrease and until mid of the next decade something between stable and very low decrease. So the second part, what I want to tell you is that our capacity to cash generate, it's well above 65% of the revenue turns into cash, so -- and the assets are in the vast majority in a good moment of depreciation. So I stop here.
Juan Gaitan: And we have time for one more question from Fabio Pavan from Mediobanca. Please go ahead.
Fabio Pavan: Yes. Hi, Marco, and thank you for the presentation. Very quick one, which probably goes in the opposite direction of the one you had until now and is the following, given the liquidity for private investors, it's coming back. And considering the statements you've done also in this presentation on cross-country, how do you react if suddenly a very attractive offer would emerge for some of your core assets? Would you consider it or not? Thanks.
Marco Patuano: Yes, Fabio, it's always a matter of definition. You have to define very attractive, how attractive is very attractive. Because we are always very rational and very pragmatic. And then what we know is that every single country contributes differently. I make you two examples to bring you to the two extremes. Italy and Spain deliver to us a very important cash generation. And so if you want me to renounce to this cash generation that is very solid and not at risk, you need to have a very low cost of capital, because what we need is to swap yield. France and Poland are giving us growth, and you know how difficult it is to add the G in every business model. So for a reason of all another, the big countries and U.K. is a bit in between, it has still decent growth with -- and it started to give us decent yield. So with reference to the five big countries, if you have the checkbook, you have to be ready to write a big number. With reference to the smaller countries, again, we know what each of them contribute to us, and -- but it's easier because you don't need possibly more than 10 billion, you need possibly much less.
Juan Gaitan: Perfect. So we have reached the end of the session.
Marco Patuano: Thank you, Fabio.
Juan Gaitan: And thank you so much all for your time and your attention. Have a nice day.
Raimon Trias: Thank you very much.
Marco Patuano: Thank you.